Operator: Good day, ladies and gentlemen, and welcome to the PNM Resources Second Quarter Conference Call. [Operator Instructions] As a reminder, this call is being recorded. I would now like to introduce your host for today's conference, Jimmie Blotter, Investor Relations manager. Ma'am, please go ahead.
Jimmie Blotter: Thank you, Sharde, and thank you, everyone, for joining us this morning for the PNM Resources Second Quarter 2013 Conference Call. Please note that the presentation for this conference call and other supporting documents are available on our website at pnmresources.com. Joining me today are PMM Resources' Chairman, President and CEO, Pat Vincent-Collawn; and Chuck Eldred, our CFO, as well as several other members of our executive management team. Before I turn the call over to Pat, I need to remind you that some of the information provided this morning should be considered forward-looking statements pursuant to the Private Securities Litigation Reform Act of 1995. We caution you that all of the forward-looking statements are based upon current expectations and estimates, and that PNM Resources assumes no obligation to update this information. For a detailed discussion of factors affecting PNM Resources results, please refer to our current and future annual reports on Form 10-K, quarterly reports on Form 10-Q, as well as reports on Form 8-K filed with the SEC. With that, I will turn the call over to Pat.
Patricia K. Vincent-Collawn: Thank you, Jimmie. Good morning, everyone. It's great to be with you all on this beautiful, sunny New Mexico morning. Today, I'll offer a quick snapshot of the company's second quarter performance, a scan of the economic and regulatory outlook in New Mexico and Texas, the latest update on San Juan Generating Station and BART, and a brief look ahead. I always like to share good news with you, and I believe our second quarter results qualify. I'm pleased to report that the company continued its strong performance and delivered solid earnings results. As we look at the numbers on Slide 4, I'll discuss what is behind them. First, the company continues to realize benefits from the focus on our core business as a regulated utility. We are effectively managing costs, while maintaining reliability and good customer service. We have also worked hard to build and maintain relationships with regulatory stakeholders, and we continue to see progress in obtaining constructive regulatory outcomes. The analysts at Moody's specifically mentioned that fact in June when they upgraded the credit outlook for PNM Resources, PNM and TNMP's to positive. This followed Standard & Poor's April upgrade of all of our entities, which included moving PNM Resources credit rating to investment grade. Today, we affirmed our financial outlook for the year. We expect that 2013 consolidated ongoing earnings to be solidly in the middle of the guidance range of $1.32 to $1.42 per diluted share. Now let's go to Slide 5 and take a closer look at PNM and TNMP and the economic forces at work in both states. Starting with PNM. In the second quarter, we saw a small decrease in weather-normalized load, with total retail energy sales down 0.6 from the same period of last year. Just as in Q1, some of the decrease in load can be attributed to the company's energy efficiency programs. I want to point out that the decrease in Q2 was less than the decline in the first quarter. And on a positive note, sales were up 2% in our commercial customer class. Year-to-date, PNM is averaging 0.5% customer growth. The economy here continues to be a bit soft, as New Mexico lags behind the rest of the nation in postrecession recovery, especially in the Albuquerque metro area. However, numbers reported this week show year-to-date public and private sector job growth in the metro, and statewide, unemployment remains below the national average. Gross receipts tax collections in the city of Albuquerque, which is considered a credible indicator of economic activity, were up in May, now for the third consecutive month. And the director of the Bureau of Business and Economic Research was quoted this week saying that, "An overall recovery is finally happening in Albuquerque." While we're not yet seeing that in our load numbers, we have experienced periods of increased peak demand. And in fact, on June 27, we set an all-time record peak. Turning to TNMP. Energy sales were basically flat for the quarter. While we did see some load decline, the trend for TNMP is still positive. In fact, the rolling 12-month average for TNMP shows an overall retail sales increase of over 2%. We know the Texas economy is still strong and growing. The state unemployment numbers are well under the national average and job growth has been consistent. There's every indication that, that will continue in Texas. Now let's move to Slide 6 for a regulatory update. As I mentioned at the top of the call, we are pleased with several recent constructive regulatory outcomes that have provided rate relief and allowed the company to move forward with important projects. On June 26, the New Mexico Public Regulation Commission unanimously approved PNM's purchase of the Delta-Person Generating Station. This plant is 132-megawatt, gas-fired peaking facility in southwest Albuquerque, and it has provided power to PNM under a purchase power agreement since 2000. The plant will add $40 million to rate base, and on an annualized basis, is expected to contribute $0.02 per share to earnings. We expect to close in early fourth quarter. On May 17, PNM filed with the New Mexico commission for approval to build and operate the new 40-megawatt, La Luz gas-fired peaking plant south of Albuquerque. Construction will cost an estimated $63 million. We anticipate the New Mexico Public Regulation Commission to act on the filing some time in mid to late 2014 and expect the facility will go online in the first quarter of 2016. We also filed our renewables plan with the New Mexico commission on July 1. This 2014 plan calls for the construction of an additional 23 megawatts of utility-owned solar capacity. The estimated cost of this is $47 million, and our plan also lays out how PNM expects to meet the state's renewable portfolio standards. We look at TNMP, we filed our latest TCOS increase yesterday, which will add $2.8 million in revenue. Barring an unforeseen challenge, we should begin collecting the new rate at the end of September. The consolidated tax-saving adjustment bill was signed into law by Texas Governor Rick Perry in June. This eliminates the provision that previously allowed the PUC to artificially lower a utilities rate request by applying tax losses of the utilities affiliates. We move to the FERC filings. In June, FERC approved an amended agreement creating a 1-year contract extension for PNM to continue providing power to the city of Gallup. That agreement went into effect July 1 and contains rate relief that will increase revenue by $3.1 million during the contract extension period. There are a few developments with the FERC transmission formula rate case that PNM filed December 31 of last year. The company is currently engaged in settlement talks with FERC and the parties to the case, with the next settlement conference scheduled for October. We have updated our filing to reflect FERC's directed ROE of 8.67%. The $1.3 million rate increase, which is subject to refund, went into effect today. Now let's go to Slide 7 to review developments with the San Juan Generating Station and BART. We are making progress with the revised state plan to put SNCRs on units 1 and 4 and shut down units 2 and 3. The revised plan is now under consideration by the New Mexico Environmental Improvement Board. They're scheduled to hold hearings on September 5 and 6, and we anticipate that the board will vote on the plan in September. The State, through the New Mexico Environment Department, proposed the revised plan and the governor has publicly supported it. In addition, a broad range of key stakeholders, including the Navajo Nation and a number of legislative and business leaders, support the plan. Gina McCarthy, the new EPA administrator, has called the plan a model for how the EPA, states and utilities should work together. We are optimistic that the agreement will be approved. After the EIB approval, the governor has 30 days to submit the revised plan to the EPA. The EPA approval process is expected to take about 1 year. We will be making the appropriate filings with the New Mexico commission at the end of the year for the retirements of units 2 and 3 at San Juan and for the identified replacement power. We are still on track to begin installation of the SNCRs on units 1 and 4 in the first quarter of 2015. The process will take about 1 year to complete. According to the revised plan, units 2 and 3 will then be shut down by December 31, 2017. We would be working with our stakeholders over the coming months to identify the appropriate replacement power. As we have previously discussed, we have been asked to consider adding our interest in Palo Verde Unit 3 as part of our replacement power, and that continues to be a potential option for us. It's important to note that with this agreement, the company would be in a position to meet or exceed the goal for greenhouse gas reductions outlined by President Obama, 17% below 2005 levels by 2020. With that, I'll turn it over to Chuck, who will go into the details of our second quarter financial performance.
Charles N. Eldred: Thank you, Pat, and good morning to everyone. At the beginning of the call, Pat mentioned Moody's move to a positive outlook for us. The recognition from Moody's, and a few months ago from S&P, is proof that we continue to deliver on our commitments. This carries forward to our quarterly results. We had strong second quarter. In spite of a sluggish local economy, we continue to manage our business well. Now let's review the financial results beginning on Slide 9 of the presentation. First quarter ongoing results were up $0.05 compared to the second quarter 2012. PNM was up $0.03, and corporate and other, up $0.02. TNMP was flat between the periods. The drivers are on Slide 10. Beginning with PNM, we talked last quarter about leveraging cost control to help make up shortfalls from load. We were able to effectively mitigate the load impact of PNM this quarter with these efforts. Going forward, we will continue to manage our business well, including keeping our costs in line with our revenue. Our objective for the Palo Verde Nuclear Decommissioning Trust is to maintain a balanced and diversified portfolio. We had our manager to increase the diversification which resulted in a $0.02 realized gain. Rate relief provided $0.01, this is from the renewable energy rider that was implemented in August 2012. Higher PV3 pricing also contributed $0.01. We are fully hedged for 2013 at an average price of about $34. Last quarter, we talked about load coming in lower than we expected, and Pat has already talked about this quarter's results. Combining load and weather, we're down $0.01 compared to last year. Each contributed about $0.005 to the reduction for PNM. Cooling degree days of PNM were down 9% compared to the second quarter 2012, but were up 22% compared to normal. As we discussed in the first quarter, higher depreciation expense from increased plant additions during 2012 lowered earnings by $0.01. The outage costs were also negative compared to the second quarter last year. This was primarily because of a timing of a plant maintenance at San Juan. Now moving to TNMP. While we were flat on an EPS basis, there are a few offsetting drivers. Rate relief from TCOS filings added $0.01, and higher demand charges from large commercial also contributed $0.01. As Pat indicated, we filed our second TCOS for the year yesterday, and we expect that the $2.8 million rate increase will be effective in September. Weather was down $0.01. Cooling degree days were 19% lower than last year and 10% lower than normal. Depreciation and property taxes, due to increased plant additions, reduced earnings by $0.01. Although this is not on the slide, I will also give an explanation for the change in corporate and other. This segment is up $0.02 compared to last year. The primary driver is a combination of the timing in allocation to the utilities of certain expenses, including depreciation that were formerly held at corporate. Neither these items were at net benefit to the consolidated entity on an annualized basis. We did see a slight pick-up for lower interest. We received a $96 million tax refund that we talked about before we use those funds primarily to pay down our revolvers. The April upgrade from S&P ratcheted down the interest expense for revolvers, and we had the opportunity to repurchase about $8 million of the 9.25% holding debt -- company debt during the quarter. Now turning to Slide 11. We are reaffirming our 2013 ongoing guidance range of $1.32 to $1.42. With half the year behind us, we are confident that we will end up the year solidly in the middle of our guidance range. As Pat described, we are -- continue to monitor load. We're already through July, the first month of our largest quarter, and the load has not changed our view for the year. We still expect 2013 to be down as much as 1% compared to 2012. As I mentioned earlier, we have Palo Verde 3 fully hedged for 2013. We're also about 50% hedged for 2014 at an average price of approximately $37. With that, I'll turn the call back over to Pat.
Patricia K. Vincent-Collawn: Thanks, Chuck. As we wrap up the presentation, I want to review our checklist as we move into the second half of 2013. We have checked off the improving FERC earnings goal because of the rate increases associated with the Gallup contract and the FERC transmission formula rates. We continue to optimize our Texas TCOS filings. As I mentioned, yesterday we made our second filing for the year and should begin collecting the new rates in September. We will keep working to obtain final approval of the revised San Juan BART agreement. We work diligently to maintain our top quartile reliability and to maximize power plant availability. I want to take a minute to mention the unprecedented storm system that hit the Albuquerque metro last Friday, including wind gusts of 89 miles an hour, which is Hurricane 4, and the strongest ever officially recorded in Albuquerque. It caused a lot of damage and our systems were impacted as well. I am very proud of our employees who rose to the challenge and worked tirelessly to restore power to all of our customers. It was also the first time we have ever asked for help from our neighboring utilities. Several were eager to assist. And I really like to call out Tucson Electric and El Paso Electric, we're grateful to them for sending their crews. On the financial side, most of the cost of repairs will be capitalized, and we do not expect this to impact earnings. Moving on, we will continue to effectively control O&M and capital costs. And finally, we continue to execute our plans to achieve top quartile returns by 2016. And with that, operator, we can now start the question-and-answer period.
Operator: [Operator Instructions] Our first question comes from the line of Ali Agha with SunTrust.
Ali Agha - SunTrust Robinson Humphrey, Inc., Research Division: A couple of quick questions. One, just the earnings contribution from the Nuclear Decommissioning Trust. Can you remind us what have you budgeted for that for the year and should we expect more of that as the year progresses?
Charles N. Eldred: Ali, we don't budget for any realized gains on Nuclear Decommissioning Trust. As I mentioned, as we continue to focus on providing diversification in that portfolio, sometimes you'll see that the -- with the market doing so well on the equity side, that we have to rebalance that to adjust the portfolio to about a 50-50 percent split. And then we've -- because of the amount of the -- finance has grown significantly, we've had to add some additional fixed income managers, and we just happened, this time, to add one that resulted in -- big enough to realize gains before interest rates changed in the market. We don't budget for it, again, so it's just more of how we manage that corporate asset and how we think about maintaining the objective and diversification in that portfolio.
Ali Agha - SunTrust Robinson Humphrey, Inc., Research Division: Okay. And then, secondly, given your comments on load trends and the comments that you're very comfortable at the middle of your guidance range for the year, what are your latest thoughts on the timing of the next rate case? Are you still thinking you can push it off into '15 with San Juan? Or any changes on the thoughts, or can you just update us?
Charles N. Eldred: Yes, there's probably a few things. One, we haven't made a decision on future filing of a rate case, and we still continue to evaluate that. Obviously, the trend in the load has created some additional challenges. But we've been able to mitigate that this year, we're managing cost aligning with the revenues. As we think about it going forward, we are -- continue to analyze the load projections and think of ways in which we can offset and mitigate the impact of that is we assume that the economy is slow and recovering. I think we've shown some examples where we have at Delta-Person station, which was not originally expected, but we picked up with another $0.01 and about $0.02 for next year. We continue to look at some opportunities within the business that would continue to help mitigate the impact of the load decline. And I think that at this point, we can't -- it's too early to really talk about those things, but it certainly -- we'll talk about it during guidance in 2014. And if we feel like this load scenario plays out to be much slower and it doesn't really turn the economy -- the economy doesn't trend anytime soon, then we'd have to consider possibly filing a bit earlier in the rate case. But it's just not -- we're prepared yet to make that decision. We'll continued to manage the costs in the business and look at other opportunities to begin to offset the sluggish recovery of the economy.
Ali Agha - SunTrust Robinson Humphrey, Inc., Research Division: And just remind me, right now, as it stands, the plan for the next rate case is for when?
Charles N. Eldred: We haven't announced that at this point.
Ali Agha - SunTrust Robinson Humphrey, Inc., Research Division: Okay. Last question. Again, assuming there's no rate case filing or rate increases coming '14, and I know you give us '14 guidance in -- at the end of the year, but just at a high level, where do you see the drivers for '14 other than load growth and cost reductions right now?
Charles N. Eldred: I think it's better to wait until we give guidance, Ali. But as I mentioned, we continue to look at ways in which we're mitigating the offset of the load implications. We do have some options that we're looking at and some opportunities that might certainly help with the -- mitigating that impact, and it's just too early to talk about that. We're also looking at weather normalization and how the cooling degree days apply to the energy sales. And frankly, we are seeing, if you begin to shorten the periods of which we normalize weather, now it's tenure basis, if we think about looking at some of the statistical trends that we've seen over the last 4 years, we've seen a significant improvement in cooling degree days. So we are reevaluating what that normalization impact has had on our load and energy sales. And it's just too early, at this point, to talk about whether or not we'd draw in a conclusion. But certainly, we may not be seeing energy sales as impacted as much as what we currently use in our formula for weather normalization. And as everyone knows, it's really more of an art on how you apply that, and we're taking a hard look at that. And if we think we're going to make some changes, we'll talk about that in the December guidance.
Operator: Our next question comes from the line of Kit Konolige with BGC.
Kit Konolige - BGC Partners, Inc., Research Division: Chuck, maybe you can go into a little more detail on what kind of costs offsets you were able to find to help mitigate the load and maybe discuss in a little more detail how much carry-through there might be on cost reduction efforts?
Charles N. Eldred: Yes, Kit, these are a lot of small items within the business that we look at in the operational side, dealing with some of the plant expenses that we can pull back levers and delay and rethink about, priorities of how we spent the O&M dollars in the business. I don't necessarily look at these things as permanent to carry forward for years, but certainly, it gives us some flexibility and some options of how we prioritize the allocation of O&M across the businesses and find ways to reduce the cost. So I don't have a number for you to say to carry forward, but certainly, we have opportunities to continue to align those costs up with the revenue declines that we've seen given the impacts on load, and we'll just continue to manage that.
Kit Konolige - BGC Partners, Inc., Research Division: And if you were to conclude that load growth was going to be weak or negative over an extended period of years, would you then be in the market to be doing some more just kind of larger scale, more permanent O&M reduction approaches?
Charles N. Eldred: We would look at a combination of things. One being, certainly, how we think about the long-term implications of the declining load. But it really would get probably more into all these comment about the timing of the next rate case, and certainly, that would be the first step that we would take as we begin to line up the expectations around trying to address the implications and the impact on load on the next rate case and file sooner than what would likely be another scenario.
Kit Konolige - BGC Partners, Inc., Research Division: Right. And finally then, do you have any quantification at this point, or beginning of an estimate how much impact energy efficiency has on load?
Charles N. Eldred: We're seeing, on average, roughly around 1% to 1.5%, when you factor in distributed generation. Energy efficiency seems to be around that 1% area and distributed generation may be slightly less than 0.5%. So it's in that range is what we see as the impact.
Operator: Our next question comes from the line of Paul Fremont with Jefferies.
Paul B. Fremont - Jefferies LLC, Research Division: I guess, my first question is, you've got a lease option coming up in January. Is it likely that you would go the same way on Palo Verde Unit 2 that you went on Palo Verde Unit 1, which is an extension?
Charles N. Eldred: Yes, hi, Paul. We're looking at, as you know, we have that option and don't have to make a decision until January. To your point, as far as given the notices, as to whether we want to extend the lease or purchase, we're going to take that -- take a very careful look at that. We certainly had the benefit with the Unit 1 leases because they extended out as far as 2023 to continue to have the option to purchase of the leases, but have the benefit of extending for a longer period of time. If you look at the leases that we have outstanding now on Unit 2, 3 of those leases really get extended only to 2018. So that might create some thinking around the idea that we would consider a purchase option and using that as a notice, but we haven't concluded that yet. But given the fact that it's a shorter period to extend the leases might result in us thinking about those, seeing differently on the Unit 2 leases than we did on Unit 1.
Paul B. Fremont - Jefferies LLC, Research Division: Great. And the integrated resource planning process in New Mexico, I guess, just kicked off. When should we expect that you file your action plan in terms of resources that you see in the following 3 to 5 years?
Patricia K. Vincent-Collawn: Paul, it's about a yearlong process, so you'd expect to see the filing next year. And remember in New Mexico, the integrated resource plan doesn't formally get accepted. Other states, it formally gets accepted and that's where you kind of follow your long-term plans. But the timing on this is perfect as we move into talks with stakeholders about replacement power for San Juan. We'll also be running the numbers through that IRP process. So it will dovetail nicely on those 2 processes.
Paul B. Fremont - Jefferies LLC, Research Division: I guess my last question is, the company sort of indicated an interest to potentially purchase another 78 megawatts of San Juan from other parties. Who would you be purchasing that 78 megawatts from?
Patricia K. Vincent-Collawn: Paul, what we're really just talking about right now, because the owners are still in discussion, is rebalancing so it could come from a variety of different owners, and it is just rebalancing what's in there in that unit. But the talks about who sort of gets what are still confidential. But we're still retiring the 340 megawatts, if you remember, the units that are closing are different than the ones on the original plan. So that's why we picked up the 78, it's just for the portfolio rebalancing piece.
Operator: Our next question comes from the line of Justin McCann with S&P Capital IQ.
Justin C. McCann - S&P Capital IQ Equity Research: Chuck, you pretty much answered most of the questions I have regarding load. I would just like to maybe fine tune. Like in Texas, where the economy is strong, how much of it, over the next few years, is going to be energy efficiency that's keeping load down? And two, in New Mexico, even if there's an improvement in the economy, that energy efficiencies will kind of limit the kind of load growth?
Charles N. Eldred: Yes, with Texas, we're not really getting that much of an impact on the energy efficiency, so it's really not driving any real change in our outlook towards energy sales growth in that market. And in fact, with the number of customer growth and the fact of the economy strong, we continue to, frankly, exceed some of the expectations in how we project the load within Texas. So we're very optimistic on our view towards that particular region and part of our business.
Justin C. McCann - S&P Capital IQ Equity Research: And in New Mexico, any improvements that may kind...
Charles N. Eldred: In New Mexico, as I mentioned -- pardon me?
Justin C. McCann - S&P Capital IQ Equity Research: Assuming that the economy does improve, would energy efficiency kind of limit the low growth potential?
Charles N. Eldred: Well, it certainly -- right now, you might draw a conclusion that even with the small customer growth that we've had, which is about 0.5%, that it's pretty much getting washed out with the energy efficiency that we're seeing. So we need to see more customer growth in the economy coming back in a much stronger way for us to really begin to see in that a real positive turnaround. But we do see early some indications that the economy, as Pat pointed out, is showing some improvement we're just not seeing in the load. But on the other hand, as Pat talked about in her comments, we had a new peaking record in -- this summer. So it's still a strong business model. We're just really more impacted by a sluggish economy and how we think about the timing of when that actually begins to be reflected in our increased energy sales.
Justin C. McCann - S&P Capital IQ Equity Research: Okay. And then one question for Pat. What impact do you see the tax reform package, which lowered the corporate income tax rates, having? Or has it had any impact so far?
Patricia K. Vincent-Collawn: Ultimately, those -- the governor passed the tax reform, ultimately, those will all go back to customers, so it doesn't have a big impact on us at all. Hopefully, it helps in the economic development in the state. And I know that the economic development secretary will tell that he's getting more inquires for customers thinking about moving into New Mexico. But we end up giving all that back to customers.
Justin C. McCann - S&P Capital IQ Equity Research: I mean, I was referring to -- or I didn't maybe state it correctly. What impact it would have in terms of more corporations moving into New Mexico?
Patricia K. Vincent-Collawn: Yes. We see it as very much a positive. And while no one has announced that they're coming here, our economic development folks at PNM, along with the ones in the city and the state, are a lot busier than they were before. So we think it's going to have a positive impact.
Operator: Our next question comes from the line of Brian Russo with Ladenburg Thalmann.
Brian J. Russo - Ladenburg Thalmann & Co. Inc., Research Division: Just the TCOS filings that you guys make every year at TNMP. Is that $2.8 million kind of a good run rate to use on an annual basis going forward?
Patricia K. Vincent-Collawn: Yes. It's kind of hard to tell. But it's stuff [ph] that's sort of in line with the growth that we tend to see over there.
Brian J. Russo - Ladenburg Thalmann & Co. Inc., Research Division: Okay. And when is the next DCOS filing?
Patricia K. Vincent-Collawn: Well, the DCOS filing we haven't stated if we would use it. Remember the DCOS filing is -- has an earnings test in it. And so, if you're earning your allowed return, you can't take advantage of that filing, so we have not been able to take advantage of that filing.
Brian J. Russo - Ladenburg Thalmann & Co. Inc., Research Division: Okay. And I guess to interpret your comments earlier about offsetting the weak load growth with cost-cutting, you guys are able to earn your allowed ROEs at both subs this year.
Charles N. Eldred: Yes, definitely, without a doubt.
Brian J. Russo - Ladenburg Thalmann & Co. Inc., Research Division: And then also, the delta purchase and the La Luz peaking capacity, is that in your CapEx?
Charles N. Eldred: At this point, we didn't have it in guidance for this year. In the CapEx going forward, it's...
Jimmie Blotter: Those are -- sorry, Brian. This is Jimmie. Those acquired at PPA that we already were receiving the energy from, so it was not part of capital.
Charles N. Eldred: The acquisition piece of it, we've incorporated into our corporate projections. But it was -- it's an acquisition of a PPA, that's why it's so different.
Brian J. Russo - Ladenburg Thalmann & Co. Inc., Research Division: Okay. And are there any rules or regulations in New Mexico that allow for you to ask for a recovery of lost revenues related to energy efficiency?
Patricia K. Vincent-Collawn: It's somewhat unclear. The way the statute states is that PNM should recover its energy efficiency costs and earn a return greater than supply on its energy efficiency. In practice, it hasn't quite turned out that way. We are able to earn and earn a small incentive on that. We typically -- we do not have what's called a lost revenue adjustment mechanism, or an LRAM. We do not have that here. I think you remember we looked at decoupling in our last rate case and that got too complex so we ended up withdrawing that. But like everybody else, we're looking at what the surrounding states are doing to see if there's a mechanism that makes sense going forward if energy efficiency gets to be a lot bigger.
Brian J. Russo - Ladenburg Thalmann & Co. Inc., Research Division: Okay, great. And then lastly, is the base case still to finance your base CapEx or your core CapEx plus the San Juan spend without any meaningful external equity?
Charles N. Eldred: That's correct, Brian. That's what you see in the capital slide in the presentation does not need any equity to fund the business.
Operator: [Operator Instructions] Our next question comes from the line of Leon Dubov with Luminous Management.
Leon Dubov: Not to continue coming back to the sales growth numbers. I'm curious, just in Texas, we saw pretty significant decline from Q1 to Q2 in kind of the growth. Can you just give a little more on what's the main factor that's causing that?
Patricia K. Vincent-Collawn: Last year, there was an anomaly in Texas, if you remember last year in this quarter, where sales were very high. And so this year, they dropped down. I don't take this as anything other than sort of a change from last year's anomaly. We don't see anything in Texas that shows us that load is slowing down or customer growth is slowing down. I think its just a hiccup in the numbers from last year.
Leon Dubov: Okay. And that's why you haven't really changed the projection for...
Charles N. Eldred: Yes, I mean, this was -- there's no indication at this point.
Patricia K. Vincent-Collawn: Yes, yes.
Charles N. Eldred: And again, as I mentioned, we're looking at weather normalization and how we apply that, so there could be some methodologies that we talk about during guidance in December that could be a factor in how we think about it. So weather normalizing, which show a slightly decrease in pressure on energy sales the way we do it now. But over shorter of period of time, we're not seeing that same impact. With tenure versus the shorter period of time, we don't see the same impact.
Operator: I'm not showing any further questions in queue. I would like to turn the call back over to Pat Vincent-Collawn, CEO.
Patricia K. Vincent-Collawn: Thank you. And thank you all for joining us. We hope you have a wonderful weekend and look forward to seeing some of you and chatting with you all soon. Thank you.